Operator: Good day, ladies and gentlemen. Welcome to the ePlus Earnings Results Conference Call. As a reminder, this conference call is being recorded. I would like to introduce your host for today's conference. Mr. Kley Parkhurst, SVP. Sir, you may begin.
Kleyton Parkhurst: Thank you for joining us today. On the call is Mark Marron, CEO and President, Elaine Marion, CFO, Darren Raiguel, COO and President of ePlus Technology, and Erica Stoecker, General Counsel. I want to take a moment to remind you that the statements we make this afternoon that are not historical facts may be deemed to be forward-looking statements and are based on management's current plans, estimates, and projections. Actual and anticipated future results may vary materially due to certain risks and uncertainties detailed in the earnings release we issued this afternoon and our periodic filings with the Security Exchange Commission, including our Form 10-K for the year ended March 31, 2021, and subsequently filed quarterly reports, including our Form 10-Q for the quarter ended December 31, 2021, when filed. The company undertakes no responsibility to update any of these forward-looking statements in light of new information or future events. In addition, during the call, we may make reference to non-GAAP financial measures. And we've included a GAAP financial reconciliation in our earnings release, which is posted on the investor information section of our website at www.eplus.com. I'd now like to turn the call over to Mark Marron. Mark.
Mark Marron: Thank you, Kley. And thank you, everyone, for participating in today's call to discuss our results for the third quarter of fiscal 2022. ePlus delivered strong financial results in our third quarter. Our performance highlights resilient IT spend in the marketplace and the successful execution of our growth strategy to capture share in our focused end markets, including the mid-market, enterprise, and public sector. Notably, customer demand was broad-based in third quarter, with growth across all customer size segments and nearly all end markets. Our higher-than-market growth rates, despite continuing supply chain challenges, demonstrate that our strategy to drive consultant, advisory and management services, security, and hybrid cloud solutions is delivering what our customers demand today. We are confident that ePlus remains well-positioned for the future with a strong Balance Sheet, deep engineering expertise, and unique value-added financing alternatives. Our adjusted gross billings increased 16.5% year-over-year to $685 million in the third quarter and on a year-to-date basis increased by more than 14% to nearly $2 billion. Net sales in the quarter grew by 15.7% year-over-year to $495 million, and year-to-date sales increased 12.6% to $1.37 billion. Given strong top-line growth and the positive operating leverage inherent in our business model, earnings per share, again, significantly outpaced sales growth. In the third quarter, diluted earnings per share increased 21% and non-GAAP earnings per share improved nearly 24% from the prior year period. I'd like to highlight a few areas that continue to contribute to our strong gross margins and profitability. Our services revenue was up 20% for both the quarter and year-to-date reflecting not only increased project-based professional services, but a continuing increase in managed services annuity type bookings, which creates value added and sticking customer relationships, strengthening the ties we have with our customers, as well as driving more predictable future revenue and gross profit profiles. Along with revenue growth, our services business is generating higher gross margins, achieving 39.4% in the third quarter, and 39% year-to-date, which is a 120 basis point improvement. As our service revenue scales increases as a percentage of our total revenue, we expect the continued favorable impact on our consolidated margins provide an incremental and sustainable benefits to our profitability and earnings. Security continues to be a key contributor to our business accounting for approximately 20% of adjusted gross billings on a trailing 12-month basis. Customers are dealing with new regulations, ransomware concerns, and post-incident response, cyber -security insurance requirements, and staffing shortages. We've built programs to help organizations develop and manage proper implementation of their security programs, which may be as simple as providing a GAAP analysis along with the deliverable road map to more expensive solutions that provide full-time [Indiscernible] resources with key deliverables associated with each functional area. We continue to see growing customer demand for our consultant and advisory services, which, in turn, has helped increase our gross margin from services. The continued solid performance of our financing segment underscores its value and has operating income of $8.9 million, increased nearly 39% year-over-year in the third quarter. On a year-to-date basis, our financing segment has generated operating income of more than $30 million, which includes an outsized benefit from several large transactions in our second quarter. In today's dynamic IT market, our customers seek to architect solid technology foundations that are both flexible and scalable. As legacy applications and business processes increasingly move to modernize their data centers or move to a hybrid cloud environment. We're able to support our customer's more adaptable business models through our integrated approach that is tailored to meet their specific networking and information security requirements. This past December, for example, we launched a new networking strategy that provides customers with a road map to help streamline complex, multifaceted network implementation. At the same time, our financing segment provides unique differentiation from a competitive standpoint. As IT initiatives grow in scope and complexity, our financing capabilities offer customers additional flexibility as they might manage tighter, [Indiscernible] spending plans. As we enter our fiscal fourth quarter, we are encouraged by continued favorable market fundamentals that are reflected in the strength of our open orders and in our growing services backlog. We continue to focus on making the right investments, including acquisitions, strategic hires on our investments in technology and partnerships, to ensure that our services and solutions support our customer’s future technology road maps and needs. And while we have a robust balance sheet improving integration expertise, which gives us the ability to acquire the right targets, we will continue to be disciplined in our approach to acquisitions. As we have discussed on prior calls, supply chain constraints remain an ongoing challenge and are likely to remain a headwind throughout this calendar year. We continue to work in close partnership with our vendors and customers to navigate these issues, which, in some cases, require us to hold ordered inventory in advance of large customer deployments. This dynamic, coupled with continued strong customer demand for IT equipment, has led to heightened inventory levels that we expect will diminish as supply chain constraints ease and customer projects are completed. In summary, I'm very pleased with our financial and operational performance in the third quarter and on our year-to-date basis. We continue to execute at a high level, delivering strong revenue and earnings growth while investing in our capabilities to strengthen our competitive position and deliver innovative and cost effective solutions for our customers. I will now turn the call over to Elaine Marion, our CFO, to walk through our financial results in more detail. Elaine?
Elaine Marion: Good afternoon, everyone. And thank you, Mark. I'm happy to share more insight about our strong financial performance in the third quarter of fiscal 2022, where we delivered double-digit top-line and net earnings growth. The strong demand for ePlus ' products and services that Mark discussed is evident in our third quarter fiscal year 2022 consolidated net sales growth up 15.7% to $494.8 million. Performance was strong across-the-board in both our technology and financing segments. Our business strategy and continued focus on our growth areas supported the technology segment, net sales increase of 14.8% to $477 million compared to $415.6 million in last year's third quarter. Product and service revenues increased 14% and 20%, respectively, evidencing market share gains. We're particularly pleased with our continued streak of service revenue growth. This was our sixth consecutive quarter of strong performance driven by a broad demand for our managed and professional service offerings. These same trends supported the adjusted gross billings increase of 16.5% to $685 million compared to $587.8 million in the third quarter of fiscal 2021. The adjusted gross billings and net sales adjustment was 30.4% compared to 29.3% in the last year's third quarter, as we had very strong growth in this quarter for sales of third party maintenance, staff, and subscription. For the financing segment's fiscal 2022, third quarter revenue increased 48.4% to $17.9 million, reflecting higher post contract sales from several early buy-outs of assets under lease. Fiscal year 2022, third-quarter consolidated gross profit amounted to $117.1 million up 19.3% from $98.2 million year-on-year. Consolidated gross margin widened 70 basis points to 23.7% compared to 23% in the year-ago quarter. Technology segment, gross profit was $104.5 million, up 18.3% year-over-year. And gross margin expanded 60 basis points to 21.9%, primarily reflecting expanding margins for products and services. Service margins widened 70 basis points to 39.4% due to increased volume for professional services that yield higher margin. The financing segment gross profit was $12.6 million, reflecting a 28.5% increase. Increased salaries and variable compensation were the main drivers of the 17.6% increase in SG&A to $76.9 million. And then similar growth and operating expenses. Our total headcount at the end of December, 2021 with 1554 flat sequentially and a 2% decrease compared to 1586 a year ago in the third quarter, which included 102 employees added from the S&P acquisition on December 31, 2020. Our strong top-line growth and operating leverage led to 23.3% growth in operating income to $36.1 million. Our effective tax rate for the quarter decreased to 26.4% from 28.1% last year due to an adjustment to the prior year's tax return related to foreign taxes. For the full year, we expect our tax rate to be between 28% and 29%. For the same reasons I just mentioned, consolidated net earnings of $26.4 million, or $0.98 per diluted share, represented increases of 22.1% and 21%, respectively, from $21.6 million, or $0.81 per diluted share, in the last year's third quarter. Non-GAAP diluted earnings per share increased 23.6% to a $1.10 compared to $0.89 in the year-ago quarter. As a reminder, EPS and the diluted share count of $26.9 million reflect the 2-for-1 stock split that took effect on September 31, 2021. Also adjusted EBITDA increased 21.5% to $41.8 million for the quarter. Moving to our consolidated results for the nine months ended December 31, 2021. Net sales increased 12.6% to $1.37 billion. net sales in the technology segment were up 11.7% to $1.31 billion. Year-to-date adjusted gross billings increased 14.2% to $1.98 billion. Consolidated gross profit increased 16.9% to $345.6 million. Consolidated gross margin expanded 90 basis points to 25.2% and our technology segment gross margin increased 90 basis points to 23.2%, reflecting the effective execution of our growth strategy. This, combined with the operating leverage inherent in our business model, led to an increase in year-to-date net earnings and earnings per share of 38.3% and 37.7%, respectively, to $81.4 million or $3.03 per diluted share. Adjusted EBITDA increased 32% to $130.3 million and non-GAAP diluted earnings per share increased 36.3% to $3.38 million over the nine-month period. As for the end market, on a trailing 12-month basis, Telecom media and entertainment continues to be our largest end market, accounting for 29% of net sales, followed by healthcare SLED, technology, and financial services, which represented 16%, 15%, 15% and 9%, respectively. The remaining 16% is distributed among several other customer types. Looking at the balance sheet, we ended the quarter with a $105.6 million in cash and cash equivalents compared to a $129.6 million at the end of March 2021. This lower level was due to share repurchases totaling $9.5 million, an increased working capital needs to support strong demands for our products and services in the technology segment, particularly as it related to inventory, which more than doubled to $147.7 million when compared to the end of fiscal 2021. This is due to an increase in committed ongoing customer projects, coupled with some impact from the continued supply chain constraints. I want to remind you that we have approximately $188 million in our financing portfolio and a portion of that could be funded with third-parties for additional liquidity to fuel our growth. In addition, we recently expanded our Wells Fargo credit facility to $375 million. Our cash conversion cycle at the end of the third quarter was 47 days, up from 24 days in the year-ago quarter and 35 days in the prior sequential quarter. This sharp increase is mainly due to increase in inventory and an increase in sales to customers with greater than 60 day terms. To sum up, our strong performance year-to-date gives us confidence in our ability to continue to grow our business, gain market share, and to deliver value to our shareholders. I would like to extend my thanks to the entire ePlus team for their unwavering perseverance and performance. With that, I will now turn the call back over to Mark. Mark.
Mark Marron: Thank you, Elaine. Before we open the call to questions, I would like to take a moment to thank our global team for their continued strong execution despite the challenges that the rapidly change in COVID environment and supply chain constraints. Their hard work and dedication allowed us to support our customers key business initiatives while delivering solid operating metrics. We believe we are well-positioned and have the flexibility and expertise to meet our customers ever evolving needs. I would like to open the call for questions. Operator?
Operator: At this time, I would like to remind everyone [Operator Instructions] Your first question comes from the line of Maggie Nolan with William Blair. Your line is open.
Maggie Nolan: Thank you, nice performance.
Mark Marron: Thanks, Maggie (ph).
Maggie Nolan: Mark (ph), I'm hoping you could maybe give us a little bit more detail on the backlog and where it stands. I think you had record levels last quarter. What does it look like as you're looking out from here and any color on maybe products versus services within that as well would be helpful?
Mark Marron: So Maggie, our open orders continue to grow. In fact, they are up about a 106% over last year. Our services backlog is up as well pretty significantly. And our pipeline of opportunities for Q4 beyond are both visible and strong at this point, so as it relates to, I'll call it backlog, open orders, visibility into the pipeline. We're seeing pretty strong demand across all customers surge right now.
Maggie Nolan: Okay, thanks, Mark. And then on the services gross margin. Elaine, I think you alluded to maybe that was a little bit of mix within services. But there does seem to be a kind of pattern of a couple of quarters here of a pretty strong gross margin in services. So is that mix shift becoming a bit of a trend or are there any trends in pricing that we should be taking note of?
Elaine Marion: Yeah. This quarter, it was really related to an increase in project related services and those come with a higher margin compared to last year where we had COVID; we couldn't get onsite as much, so I think project services wasn't quite as high as it was this year. In terms of trending, our service is just growing as a percentage of our total net sales. And project-based staff augmentation as well as managed services; they are all up across the board.
Mark Marron: I think, Maggie, if I could add to Elaine's piece, what we're seeing in the market is a lot of companies are short on staffing. So what we're seeing is they have need for both staffing resources, on-demand resources to go out and install routers, and switches, and things along those lines. We also see with everything going on with Log4j and all the other types of security threats that are out there that they're looking for security services. So we've seen some nice upticks across the board on services. And as Elaine alluded to, if you look at our services, what's nice is, it's up 20% for the quarter, but it's up 19.9% for the year. And the gross margins are actually increasing. So that's a nice mix for us right now.
Maggie Nolan: Thank you for taking my questions.
Mark Marron: Thanks, Maggie.
Operator: Your next question comes from the line of Greg Burns with SIDOTI and Company. Your line is open.
Gregory Burns: In regards to the rise in working capital, the rise in inventory, what's the timing on the complexion of the projects tied to that? When do you expect them to be delivered and do you -- at what point do you start to think that the working capitals starts to decline going forward?
Mark Marron: Hey, Greg. As it relates to the inventory, I think this is going to go on for a little bit. I think with the supply chain issues that are in place, I think you're going to see them through the end of the year, of this calendar year based on everything we're seeing and hearing, so I think that's going to continue for a period of time. We're lucky enough it really didn't affect us in the quarter too much as it relates to some of the supply chain things, similar to previous quarters as it relates to the supply chain. So I think this will continue for the near future and then over time it'll start to wind down as we move forward, related to inventory.
Gregory Burns: Okay, thanks. And then in terms of labor availability, are you seeing any issues there in terms of being able to hire as well as maybe the cost of labor going up. How do you feel about that going forward?
Mark Marron: I think it's a competitive market to be honest, Greg, we've been lucky. From an attrition standpoint, it's up a little bit compared to previous years. I think it is a competitive market both for new hires as well as people that potentially leave and with labor costs being up, I do think it's a little more expensive with replacements on. I'll say either terms or new hires. So it is a little bit challenging at this point.
Gregory Burns: Okay. And then I guess with that in mind, how do you feel about continuing to be able to drive operating leverage to the business? I mean, is it going to be more of a -- I know historically you are investing in for chasing sales and technological headcount. And more recently we started to see some leverage in the business. So going forward, how do you feel about balancing that in this current environment?
Mark Marron: I think a couple of things there, Greg, that you touched on. One, we are going to continue to invest. We think we're in a pretty good spot with the solutions and services we have, so it's really about getting more feet on the street to touch more customers. So we think we'll continue to invest in headcount, so that'll drive up some of the, I'll call it the S in SG&A, if you will, from an OpEx perspective. But if you look at this year, we've been able to drive our operating income. Consolidated income is up 36% year-over-year. And actually, the operating income margin is up 140 basis points. So I think we have some room within that model still to get operating leverage and continue to grow both top-line managed through some of the -- I'll say salary increases for lack of calling it anything else to still have a nice bottom line from an operating perspective.
Gregory Burns: Great. Thank you.
Mark Marron: Thanks, Greg. We'll see you.
Operator: Your next question is from the line of Matt Sheerin with Stifel. Your line is open.
Matt Sheerin: Yes. Thank you. A couple questions for me. Mark, just to start, you talked about the strength and the strong demand in the quarter. Were you able to meet all of that demand or did you have a product constraining set that pushed out orders? Was there revenue left on the table, in other words, that you missed?
Mark Marron: Well, we tried not to leave revenue on the table, Matt, but there's definitely things. With the -- look, with the supply chain, it's an interesting dynamic. I think demand is obviously outpacing supply. I think there's obviously constraints. Lead times are changing and extending all the time, Matt. But we've been lucky enough -- the team has done a really nice job of working with both our vendor partners and our customers on setting expectation. So I think there may be some that leaks over from Q3 into Q4 and then Q4 to Q1. But I don't think it's anything material or it hasn't been material at this point, and I'm not expect it to be material in Q4 at this point.
Matt Sheerin: Are you seeing price increases and just passing them along? Is that inflation contributing to your revenue growth?
Mark Marron: Not yet, but it could. With the price increases, it could potentially, as we go forward. We have been able to pass it on at this point, but a lot of the pricing changes have just come into play recently. So there were some things in place honoring old pricing and some of the new pricing just came into play January 1st, so just starting in this quarter, so haven't seen it where it would affect revenues yet, but as each of the vendors increase their pricing, and if we're able to pass it on, you should see some uptick there.
Matt Sheerin: Okay. And I appreciate that you don't give forward guidance and haven't given outlook for the March quarter. But typically you're down seasonally. Down -- last year were down double-digits sequentially. Is that the expectations of more seasonal demand trends because of the product constraints or anything different than that?
Mark Marron: Yes -- no, I think seasonality still comes into play, Matt. It always does every year for us in the March quarter versus the December calendar year-end so, I think seasonality is in play. I also think on our group side, our financing side, we have a tough compare for Q4 to last year. I think there were some sales of leased equipment and a few other things that jumped up that number last year so we got a little tough compare there. Those would be the two things. But once again, as I mentioned earlier, the pipeline, the backlog, and all the other things that we're seeing are still strong.
Matt Sheerin: Okay. Thanks for that. And Elaine, I have a modeling question regarding OpEx. You talked about an acquisition contributing to OpEx or SG&A. Could you give us an idea of what we should expect for the March quarter?
Elaine Marion: I think if you follow what this quarter looks like, it should be running in the same lines except variable comp will obviously vacillate based on the gross profit in the quarter.
Matt Sheerin: Okay, so flattish, give or take.
Elaine Marion: Yes.
Matt Sheerin: Okay. Okay. That's it from me, thanks a lot.
Mark Marron: Alright. Matt. See you. Thank you, Matt.
Operator: There are no further questions at this time. I will turn the call back over to Mr. Mark Marron, CEO.
Mark Marron: Alright. Thank you, everyone. Thanks for joining us today. We look forward to everybody being safe and sound during some of the storms that are coming through the U.S. and abroad, if you will. And then we'll speak to you at the end of Q4 for both our Q4 and year-end results, take care.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference call. You may now disconnect.